Operator: [Indiscernible] Second Quarter 2014 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to David Langevin. Please go ahead, sir.
David J. Langevin: Thank you, Craig. Good afternoon, ladies and gentlemen, and thank you for your interest in Manitex International. As usual, on the call with me today is Andrew Rooke, our President and COO. Please see our website or our release for replay instructions for this call, which will be available until August 13, 2014. We will again be using slides in this presentation, which are available through the webcast or directly through the Investor Relations part of our website. Refer to the first slide regarding the Safe Harbor Statement. Please review the statement and refer to our SEC filings for further guidance on the risk associated with our company. We've organized our call today, as in the past, by leading off, making a brief opening statement followed by a review of our results by Andrew, and a closing statement by myself. Andrew and I will then be happy to respond to any questions. So now, please refer to Slide #3. We reached several milestones in the second quarter, with record sales and EBITDA, and with that, income equaling our all-time high for the similar period. Also, all of our results would have been even better with sales surpassing $70 million for the second quarter, except we had, as mentioned in our release, several international orders, which we expected to book and we're shipped but not received in time by the customer and could not be booked in the second quarter. These sales will be recognized in the third. Other items to note in our release are that our backlog held up in the second quarter with a slight improvement to $103 million and a very spotty demand environment and even after a significant increase in quarterly production. In light of our bookings being very close to our production, we expect to continue production at the same pace for the near-term. Also, as mentioned in our release, our increase in orders are coming from our European material handling business and has been the trend recently in lower-tonnage commercial crane products, which we will expect will result in pressure on our gross margins in the short run. We had been running at a very consistent gross margin range for a number of years. I would expect to return to our 20% range in the near-term. Further, we are pleased to announce another Military contract for Manitex Liftking. As mentioned, we now have contracts for military orders in the range of $75 million to $125 million over the next 5 years. This really establishes a long-term profitable business at Liftking on which build and add more military and non-military business. Finally, since our recent announcement and conference call regarding our agreement to purchase PM knuckle boom crane Group, the documents have been filed in the courts in Modena, Italy. The courts are now closed for the August recess, but that delay was factored in our timing, so we would -- we still would expect to close in the fourth quarter of this year. Also, in case you missed our slides on the PM acquisition, we've included a few other key slides in the appendix of this presentation. With those brief comments, I'd like to turn it over to Andrew to review the quarter in more detail. Andrew?
Andrew M. Rooke: Thanks, David, and good afternoon, and welcome, everyone. Following our usual format, I'll start out by providing an update about the state of the markets we serve and make some remarks relating that to our performance, and then I'll get into the comparative financials. So let's start with Slide 4. Overall, the demand in the second quarter saw a change in mix of orders, with a strong order intake in our CVS container handling operation. And within our crane businesses, we saw an increase in orders for lower tonnage, which we would classify as below 40-ton product, in response positive incremental improvement in general construction activity. Although we increased production levels in the second quarter, since December 31, 2013, our backlog has increased 33% and stood at $103 million at June 30, 2014. This also reflects a sequential quarterly increase of 2.5% and the book-to-bill ratio for the quarter of 104%. The order book remains broad-based, but does contain a high level of military product within periods at almost 15% of the total and a higher level of orders for contained handling equipment. Demand from the energy sector remains flat, although our expectations are that a modest recovery in orders will be seen in the sector in the medium term. Rig count as of July 25 showed a year-over-year increase of 8.2%, an uptick from the end of Quarter 1 of this year. European markets have shown modest improvements year-over-year, which had a favorable impact on container handling orders in the second quarter of this year. Our product revenue profile has changed recently, with an increase in lower-capacity crane products and an increase in container handling products. A modest improvement in Europe, the gradual improvement in general construction activity in North America, combined with a relatively flat energy sector account for these changes. In respect of Europe and CVS, its order book still has a very international flavor, but over 50% of it is now European-based, which is a significant increase from where it was 12 months ago. We were pleased to announce just yesterday that we'd received the third military contract for specialized material handling equipment from Manitex Liftking's subsidiary. The contract is a value of $30 million to $45 million, depending on volume and specification mix of orders, over the next 5 years, the term of the contract. Deliveries will commence in late 2015. Concurrent with receiving the contracts award, we received initial orders under it of approximately $4.7 million. Neither the value of the contract nor these initial orders is included in our backlog at June 30, but the initial orders of $4.7 million will obviously be included on a go-forward basis. In combination with the other 2 previously announced contracts, also secured within the past 14 months, the solid source of business with a value ranging from $75 million to $125 million is now in place and will form a sound base for the Manitex Liftking business to grow over the next 5 years. Now turning to the financial results. Slide 5 shows the key figures for Quarter 2 2014, with comparatives for Quarter 2 2013 and Quarter 1 2014. Second quarter 2014 revenues increased $5.8 million or 9.3% from the second quarter 2013 to $68.4 million, a quarterly record for the company. However, the quarter's revenues would have exceeded $70 million if not for a number of government-ordered units that shipped at the end of the quarter that were still in transit and, therefore, unrecognized at quarter's end. Second quarter 2014 revenues include the benefits of $6.4 million from the Sabre and Valla acquisitions made subsequent to the prior year period. Crane revenues were flat year-over-year and also reflected a higher percentage of lower-capacity models from an improved general construction environment. Material handling revenues were lower from reduced commercial product sales, but also from the previously mentioned in-transit shipments. Container handling revenues at our European CVS operation was strongly up, increasing 38% from the prior year quarter, resulting from increased demand from both European and international markets. Net income for the quarter of $3 million was equal to the highest achieved by the company to date and reflected an increase of north EUR 0.3 million year-over-year and the sequential quarter's increase of $1.1 million or 59.1%. Earnings per share was $0.22, unchanged from the year-ago quarter. Since although we reported a higher net income, there was an increase of $1.5 million outstanding diluted shares in the second quarter of 2014 compared to the second quarter of 2013. EBITDA for the quarter was $6.3 million, equal to 9.2% of sales and was an increase of 14.2% in the $5.5 million in the second quarter of 2013. This was another quarterly record for the company. As previously mentioned, backlog at June 30 was $102.5 million. This represents an increase of over $25 million or 32.7% from December 31, 2013, and the sequential quarterly increase of $2.5 million or 2.5%. Slide 6 is a bridge for the net income of $2.7 million from the Quarter 2 2013 with a net income for Quarter 2 2014 of $3 million. Moving through the reconciliation table. Compared to the second quarter 2013, higher revenues of $5.8 million combined with a 40% -- sorry, 40-basis-point decrease in gross profit percent, principally from product mix, generated an increase in gross profit of $0.9 million. Operating expenses increased $0.3 million, including $0.9 million related to companies acquired since the second quarter of 2013. SG&A expenses were 10.8% of sales compared to 11.3% for the second quarter of 2013 and remained controlled within management's target range. The decreases in the quarter in the range of expenses and particularly in performance-based compensation. The other principal factor influencing operating income was $0.2 million of increased tax expense attributable to higher income and to an increase in the effective tax rate to 32.5% from 31.2% for the second quarter 2013. The principal factor accounting for the increase in the effective tax rate was the absence of R&D tax credits, but such provision expired as of December 31, 2013. Slide 7 shows our working capital has increased from $74 million at December 31, 2013 to $84.4 million at June 30, 2014 with the principal movements being an increase in receivables and inventory partially offset by reduced cash and increased accounts payable and other short-term liabilities. These increases were used to support higher levels of activity initiated in the second quarter from that we are operating at in the fourth quarter of 2013 and the first quarter of 2014. Slide 8 shows our capitalization and liquidity position. Total debt at the end of the quarter was $59.8 million, an increase from $54.2 million at December 31, 2013. The key movements being an increase in working capital facilities in North America and Italy of $6.4 million, partially offset by other debt repayments in the quarter of $0.6 million. 12-month trailing EBITDA increased to $22.9 million, and our debt to trailing 12-month EBITDA ratio increased slightly to 2.6x compared to 2.5x at December 31, 2013. And now, I'd like to hand back to David for his final summary.
David J. Langevin: Thank you, Andrew. As we have been saying for well over a year now, overall, we are in a slow but steady environment for our products. When looking more specifically at the crane boom truck market, which is the biggest part of our business, we entered this year slowly, but then we had a significant burst of business at the end of the first quarter and in conjunction with our industry's largest trade show in March. However, as reflected in our backlog, the pace of the market was slower in the second quarter. While the boom truck market was down 8% in 2013, and although it is too early to tell the final results for 2014, the market's direction as a whole is now looking like another down year with a magnitude similar to 2013, or approximately 8%. Although, and we believe this is quite significant, our market share is very high for overall bookings received through the second quarter of this year. And we hope this market share increase represents a trend that we can sustain. Further, over the last several years, oil and gas equivalent demand has been quite strong and growing. But now, those markets have steadied, although we are expecting oil and gas to pick up again for 2015. Many are also saying that we will have an acceleration of economic markets as we move through this year and into the next. And many of our dealers have told us the same thing. As proven in this quarter, we can move quickly to increase production when we see an increase in demand as we did in the first quarter of this year. As we also mentioned, our European businesses are seeing better activity, which corresponds with the current increase in production in our European plants. An improvement in the major European markets will certainly help us as we move forward with the PM edition in the fourth quarter. We also believe that PM will better position us to work with our dealers and customers in North America by offering both straight mass and knuckle boom cranes, each with unique benefits, functionality and niche market applications, and conversely, offering the same opportunity to PM's dealers and customers throughout the rest of the world. As I mentioned earlier, we expect to close PM in the fourth quarter and we will be ready to hit 2015 with a potential for a significant expansion of our sales and profits. With that, Craig, we would like to open up for any questions.
Operator: [Operator Instructions] And our first question today comes from Matt Koranda with Roth Capital.
Matt Koranda - Roth Capital Partners, LLC, Research Division: I just wanted to start off with the crane segment. And if you could just give us a little more color sort of on what you're seeing in the energy end market. It sounds like there's a bit of a mix shift going forward with the lower capacity construction cranes kind of driving the quarter. Is this something we should expect for the remainder of the year? And how do you expect it to trend going into 2015?
David J. Langevin: Thanks, Matt. Thanks for the question. I don't know the -- obviously, the visibility is relatively short at this point. Since we do have roughly $100 million in backlog and $60-some million in production roughly, using very round numbers and being very rough, because, obviously, we have a mixture of different types of products in that backlog, the change can happen fairly quickly, like it has this year where we've gone from a mix of cranes which were higher tonnage to a mix of cranes that the lower tonnage. What we'd like to see, obviously, as we go forward is a balance, more of a balance, and clearly a trend towards the higher-tonnage cranes, which is what we've seen for a number of years up to this point. So our expectation is that it's short, but it's certainly is prevalent in our backlog today. But again, that's just something that we see and we wanted to make sure that we were clear so that there would be no surprises going forward for the next quarter. But again, it's not something that we are -- we'll continue to try to do or improve from an efficiency standpoint, from a cost standpoint so that the impact is minimal. But it certainly will have an impact.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay, great. That's helpful. And then just touching on order intake for the moment. It looks like it was up year-over-year, but down from Q1 levels. Can you just comment on order flow in July and kind of what you see in the pipeline for the remainder of Q3?
David J. Langevin: What we're -- we were -- we're getting business, obviously. It's much more broad-based. Maybe it just reflects the fact that we have -- we keep bringing on new products. I know we've taken some orders recently, some very nice orders for some refinery business. I know we're working on a number of orders in the energy area. So I would say it's holding steady, and we're pleased that our backlog has continued to modestly improve. But as a result, we are kind of running our production levels in the near-term right now at similar levels, as we've said in our remarks, because of the fact that our backlog to build schedules are getting pretty close to equalizing out.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay, great. And then just one more here for me. You guys did mention quickly that Europe looks like it could potentially be improving and things are picking up at CVS. How do you look at Europe, especially in light of the PM-Group acquisition? And what do you see there over the coming, call it, 6 months to a year in terms of the general economy and activity there?
David J. Langevin: It's difficult to predict because of everything that's going on all over the place. But I mean, generally, we were up significantly in the first quarter. I think Andrew mentioned 38% at our -- is that right, Andrew? Is it 38% on our CVS business?
Andrew M. Rooke: Yes.
David J. Langevin: And that's driven by Europe. PM is certainly been very stable over the last couple of years, but it's all been non-European business. Same thing with CVS. They have been very -- they have been increasing steadily, but it's all been non-European business, so it's really great to see some European business. They're very similar to us in that they haven't had -- they've been on the bottom for a long time. So as you start to increase here, it really is helpful from a business standpoint.
Operator: And our next question comes from Kristine Kubacki with Avondale Partners.
Kristine Kubacki - Avondale Partners, LLC, Research Division: I was just wondering a little bit more on the comment you just made about the production rates being more steady in the near term. I guess, your backlog is still pretty high. What kind of backlog -- or what kind of book-to-bill would you need to see in order to start to increase production rates from here?
David J. Langevin: Well, I think we're just going to try to play it by ear. We've obviously demonstrated that we can flex pretty well. We're a little bit worried that we have the same impact as last year. If you remember last year, we started the year optimistic. I don't remember the exact numbers, but I think we were in the high-50s as far as production in the first quarter and then moved up in the second, and then down in the third and up in the fourth. So it was in a roller coaster. And it seems like you might be seeing some same similar trends this year. So we're going to try to smooth it out a little bit better this year than going up and down like a roller coaster because it's hard to -- harder to manage, harder to run efficiency in the plants, et cetera. So I think we're going to, for now, as I've said through the third quarter, we're going to run at these levels, close to these levels and then see what happens for the fourth.
Kristine Kubacki - Avondale Partners, LLC, Research Division: Okay, that's fair, and it's helpful. I guess on the first quarter, you mentioned about ConExpo. Obviously, a lot of activity around there. Maybe it seem -- just a bigger macro picture. Did it seem like activity accelerated in the first quarter and then dropped off a bit in the second quarter? I guess, what are your customers saying out there? Is it -- does it feels choppier now than it did in the first quarter, perhaps?
David J. Langevin: Well, we certainly were excited when we were doing the conference call from ConExpo because it was -- as ourselves and everybody else in our business reported, it was a very strong and positive exhibit. But similar to like what we've seen in the past, it seems like it slowed down after we did get a big flurry of orders because, as you know, and as I've said at our -- in my remarks, we started the year very slow, off of a very slow fourth quarter. Started slow in January, and then, bang, we got -- we've just got an influx of orders that was very significant as we know because our backlog went from nothing to over $200 million in a very short period of time. And while we've increased production, I don't think we should be doom-and-gloom about this. Obviously, as we've increased production, our backlog had stayed up in a very relatively healthy level. So again, I don't think it's all that bad. We just -- it just -- it doesn't seem like the activity is quite as strong as what we saw at the beginning of the year.
Kristine Kubacki - Avondale Partners, LLC, Research Division: Okay, that's helpful. Just one last question for me. I was just -- on the -- if you could just reaffirm. I guess, in terms of the unit that did not -- that was shipped in the quarter but were not recognized in the quarter, you made it sound like those were military units. Would that have also been additive to the margin as well?
David J. Langevin: Of course, yes.
Operator: And next from Global Hunter, we'll hear from Walter Liptak.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Yes, I wanted to ask about the gross margin conversion in the quarter. It looks like it was in the mid-teens. I wonder, as you were ramping production, if there -- how the process flow went. Is there a ramp period? Because we see some benefits in the back half if you continue at this production rate.
David J. Langevin: Well, I think the issue that we have is -- the bigger issue that we had is what we discussed in our remarks, the mix. We had a better mix. And again, it changes over fairly rapidly. So I'm not saying it's -- it certainly isn't permanent, and we've gone through these ups and downs on the margins in the past. And so -- because we've got several quarters. I mean, we've had it a year ago, where we dropped into 17s, as far as the gross margin for a 90-day period and then snapped back up into the kind of our normalized range. If you go over the last 5 years, depending on how you report it from an average standpoint, we're either slightly above 20% or slightly below 20%, with, obviously, 1 year being 24.5%. So that was a big year. And then we've had a number of years in a row now where we've been around 19% on an annual basis. But we certainly would expect, as we rollout through the rest of this year, third quarter because of the mix, as we enter into the third quarter, will be lower from a margin standpoint, but we're not ready yet to see how it develops to the fourth quarter. We're still working on that. And as I've said earlier to Matt, we'll do the best we can to improve through efficiencies and cost reductions, et cetera, between now and the end of the quarter. But these 90-day periods move up on you rapidly.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay, got it. Right. So not a lot of offset to that mix. Can you give us an idea of the magnitude of what the gross margin, what you're thinking that, that mix is going to look like in the third quarter?
David J. Langevin: Well, that's tough. I would say that of the range that we've been into over the last -- if I go back even further, we've range from 16% to 24% is kind of the high and the low. We're at 19% and change in the second quarter. As I said, we've -- in the recent memory, we've been as low as in the 17s. And I'm sure we'll touch closer to the lower end of the range than the higher end, for sure. It'll just be a matter of how much we can work it between now and the end of the third quarter, and then we'll report on what's in the mix, and hopefully, that will snap back like we have in the past. Because again, this is not something that we expect to be permanent. It's just a something that -- it's just a function of the market right now. And as I mentioned in our remarks, we've done very well with market share because the market has been very difficult. As you've look at the total number of units, it's not very great as far as the total number of units that being sold in this market, and it hasn't been for the last couple of years. We've had a big break several years ago with the oil and gas business. That really drove it up, but that was something that wasn't prevalent during the last peaks. We're nowhere near the business that we've had from the last cycle. So from an optimistic standpoint, we've got a long way to go.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay, got it. I wonder if you can get visibility at all from the dealers, especially in LNG, about order activity that might happen in the back half of the year? Do you have a sense there?
David J. Langevin: Yes. As I've mentioned, we seem to be getting good response and good input from the dealers. But again, the dealers are very hesitant to load up -- most of our dealers, as you know, are independent dealers. So there's certainly not going to load up on units that they can't move in the near-term. And so I would say that the conservative nature of independent dealers, this really dictates that we have a, as we've proven, the efficiency to move up and down with the market. So I would say it's relatively positive. Certainly very positive going into 2015 because we haven't -- the oil and gas business has not made a lot of equipment purchases from -- since 2000 -- the first quarter of 2012. So we've had a period here where rig counts have extended. Certainly, those units that were sold during the '11 and '12 period have now had some years and some life on them, some very rugged activity, and so we'll start to see some improvement as we go forward.
Operator: And next, we'll hear from Amit Dayal with H.C. Wainwright.
Amit Dayal - H.C. Wainwright & Co, LLC, Research Division: Just one question in regards to the outlook. I guess, relative to last quarter, this quarter, you're a little more subdued. How do we...
David J. Langevin: You picked that up, good. That's exactly right. We were a little giddy last quarter, but now it's like, oh, jeez, we're back to real work.
Amit Dayal - H.C. Wainwright & Co, LLC, Research Division: I mean, having said that -- I mean, you still are putting up record quarters. So you've got to take that in context.
David J. Langevin: Yes, I know. That's the way I'd put at it, too. It's not -- a year from now, we'll be a lot higher than this. We'll be -- my crystal ball says it would be a lot bigger numbers because we'll have PM, and that's a significant addition. And we'll be -- hopefully, we'll be approaching $100 million a quarter.
Amit Dayal - H.C. Wainwright & Co, LLC, Research Division: Right. And just from a near-term perspective, given the outlook you have spoken about, I mean, do you anticipate any margin pressure in the business? I know you've bounced back this quarter, but do you -- I'm just a bit -- any pricing pressure in the market relative to sales, et cetera?
David J. Langevin: We have really good competition in the market. And it seems to me that the market pricing is not -- is very disciplined, and I don't see that as being a key factor at this point. It's just that you don't think, like, -- I mean, it's just, obviously, very easy to analyze. If you sell $100,000 17-ton crane and the chassis cost $75,000, you don't make a lot on the crane. Whereas if you're selling $500,000, $600,000 $700,000 cranes and the chassis is a much, much more smaller component of that, then clearly, you're making a much better margin. Yes, it's just mix at this point.
Amit Dayal - H.C. Wainwright & Co, LLC, Research Division: Right. Okay. And just, from an outlook perspective, in your release, you stated like a base case revenue of around $350 million for next year. It seems a little conservative. Are you just hedging a little bit? Are you...
David J. Langevin: Yes. We're just trying to be -- I mean, all we've been doing is taking our quarterly numbers that we've been posting, multiplying them. In this case, we did $130 million in the first 6 months. Double that, $260 million plus $106 million for PM and we're over $350 million, but that's not where we expect to be. That's just a very conservative way of doing it so we're not raising expectations beyond what we can rationally deliver in the short run.
Amit Dayal - H.C. Wainwright & Co, LLC, Research Division: Right. And just one final question on the tax rate going forward. I mean are these levels what we should be modeling for going forward?
David J. Langevin: I think we just -- and, Andrew, you're much better at this because you work it at all the time. But I think we just are better off using a 32.5% rate. What do you think?
Andrew M. Rooke: I would agree.
Operator: [Operator Instructions] Next, we'll take Les Sulewski with Sidoti & Company.
Les Sulewski - Sidoti & Company, LLC: I just wanted to revert back to the question regarding the unrecognized shipments from the government order. Was it under the $2 million range or so? And is that going to flow into third quarter?
David J. Langevin: That's correct.
Les Sulewski - Sidoti & Company, LLC: Okay. And can you talk a little bit more about the container handling improvement, specifically what drove the increase, and give us a little bit more color on that outlook on that side of the business?
David J. Langevin: Yes, the container world, even though it's not something that is -- if you looked economically at the container utilizations, economic factors around the world, you wouldn't think that you would see a big increase in the container equipment. But the fact is that there has been a postponement of equipment from throughout the world. And now, what you're seeing is with that equipment being used 24 hours a day, 7 days a week, it just is time where we're seeing a replacement. And because our company is -- our guys have done a great job of becoming better known, well-known people have accepted the fact they were bankrupt 2 years ago and we've purchased it out of bankruptcy. That obviously had a short-run impact, but we seem to have, not 100%, but we've gotten to ourselves now where that's behind us, and so there just is a more acceptance and improvement in the product. And so we're just winning a lot more orders, getting a lot more inquiries and seeing a lot more business. And as Andrew said, a significant increase in the European business, which we haven't seen in a long time.
Les Sulewski - Sidoti & Company, LLC: And then perhaps -- so if you're mentioning replacement cycle and -- how about the oil and gas sector here in the U.S.? Are you seeing some pick up just on the replacement cycle as well?
David J. Langevin: What we mentioned was we anticipate seeing that. I don't think we've seen a lot of that up to this point yet, but the last time we had a good run was a number of years ago now. It seems like yesterday because it goes by so fast, but it has been a number of years. And that equipment also is under a lot of stress and constantly used and constantly moved. So we expect that, that equipment will already -- will start to see some volumes, some additional volumes in 2015 from that sector, and also because of the fact that the sector continues to grow, there'll be more uses for equipment as that grows. So we expect that to be a very significant piece of our upturn as we go forward.
Les Sulewski - Sidoti & Company, LLC: That's helpful. And then just one last one, any exposure to Eastern Europe and especially the political issues facing Ukraine and Russia? Any issues for dealing with business there?
David J. Langevin: Well, some people who have been on these calls for years realized that at one point, we're really trying to expand our role in those areas. We weren't successful. We didn't do a very good job. Maybe that's for the best because we don't not have much exposure. When you look at our 10-K, you can see the countries in which we have exposure. And while we certainly have in the past sold some product in those areas, it's not a very significant amount.
Operator: Next, we'll go to Jeffrey [indiscernible] with Tuxedo Road Associates.
Unknown Analyst: First of all, let me congratulate Mark and his team.
David J. Langevin: Yes, yes. I think you're absolutely right, Jeff. He's a rock star. Although we have to be careful about how much we pump him up. There are other people on the call that -- Mark Levante [ph] is the guy that makes all this happen at the -- in the Military side. And so we have a guy that has obviously added a significant amount of business, and we hope a significant amount more going forward. Although now I have to pick him up in the car every day to take him to the office because he's [indiscernible]. Thanks, Jeff. Appreciate it. And I know Mark appreciates it, too.
Unknown Analyst: And I know he's probably listening to the call, so...
David J. Langevin: He always does, absolutely.
Unknown Analyst: Two quickies. Have you guys ever released the run rate on CVS?
David J. Langevin: No, but I think we've alluded to it enough times. I think we've been slowly but surely seeing the increase from 0 to, now, we're probably somewhere in the $50 million to $60 million a year range. And our expectations are in the next 12 to 18 months that we'll go significantly higher. So it's been quite a story.
Unknown Analyst: Well, I fondly recall when we took that out -- when you took it out of the chapter, that $100 million dollar plus business, and it's great to see that start to bloom and come into fruition.
David J. Langevin: And those guys have done a good job. They have gone all over the world to get business. So it's been great.
Unknown Analyst: The last question I had was at the -- at ConExpo, you introduced some new higher-tonnage boom trucks. What is the takeaway from that? Has there been any interest in the higher level over 60-ton? Or is that still a work in progress?
David J. Langevin: It is. Exiting -- that unit that was there, it was nice and pretty and nice and shiny, but it still needed a little bit more work. And so they worked on it. We've gotten some units out in the second quarter, and we expect to be expanding that from this point forward, but it has been slower than what we had hoped, but necessary because we wanted to make sure we put a product out in the marketplace that worked to our expectations because sometimes, when you put something out too quick and you have issues, it's hard to make that up. So we've been going relatively slowly, but it is now entering the next phase out of the work-in-process phase.
Operator: [Operator Instructions] And it appears we have no further questions. Mr. Langevin, I'll turn it back to you.
David J. Langevin: Thank you, everyone. Thanks for your interest in Manitex International. Look forward to speaking to you again on our next quarterly call. Thank you.